Operator: Good day, ladies and gentlemen, and welcome to the Sands Fourth Quarter 2025 Earnings Call. [Operator Instructions] It is now my pleasure to turn the floor over to Mr. Daniel Briggs, Senior Vice President of Investor Relations at Sands. Sir, the floor is yours.
Daniel Briggs: Thank you. Joining the call today are Rob Goldstein, our Chairman and CEO; Patrick Dumont, our President and Chief Operating Officer; Dr. Wilfred Wong, Executive Vice President, Sands China; and Grant Chum, CEO and President of Sands China and EVP of Asia operations. Today's conference call will contain forward-looking statements. We will be making those statements under the safe harbor provision of federal securities laws. The language on forward-looking statements included in our press release also applies to our comments made on the call. The company's actual results may differ materially from the results reflected in those forward-looking statements. In addition, we will discuss non-GAAP measures. Reconciliations to the most comparable GAAP financial measures are included in our press release. We have posted an earnings presentation on our website. We will refer to that presentation during the call. Finally, for the Q&A session, we ask those with interest to please post 1 question and 1 follow on so we might allow everyone with interest the opportunity to participate. This presentation is being recorded. I'll now turn the call over to Rob.
Robert Goldstein: Thank you, Dan, and good afternoon. Thank you for joining us. Marina Bay Sands delivered EBITDA of $806 million, simply the greatest quarter in the history of casino hotels. We see $2.9 billion of EBITDA this year. Mass gaming and [ spot win ] exceeded $951 million this quarter, which is up 118% in Q4 in 2019, up 27% in Q4 last year. Of course, we are delighted with the results, we look forward to more this year. This is an extraordinary market we have built a product to maximize the opportunity. The question is how much further can we go in the next 2 years. There's has never been a building to my knowledge to deliver these types of results. Macao delivered $608 million of EBITDA for the quarter, and we are disappointed with that EBITDA number. However, mass market revenue did exceeded 25% this quarter of share, up 23.6% in the first quarter of 2025. Macao market is driven by the premium segment which is a highly competitive market. There may be a day when base mass recovers, and we will excel when that day comes, but until then, we will continue to focus on our ability to make the assets work harder to achieve $700 million per quarter. The team is in the right place, and we will deliver better results in 2026. So let's hear it from Patrick.
Patrick Dumont: Thanks, Rob. Macao EBITDA was $608 million. If we had held as expected in our rolling program, our EBITDA would have been lower by $26 million. When adjusted for higher-than-expected hold of the rolling segment, our EBITDA margin for the Macao portfolio of properties would have been 28.9%, down 390 basis points compared to the fourth quarter of 2024. We are focused on delivering revenue and cash flow growth across the portfolio. Margin at the Venetian was 32.3%, while margin at the Londoner was 28.8%. We expect growth in EBITDA as revenue to grow. We will use our scale and product advantages together with targeted incentives to better address every market segment. We see opportunity in every segment at every property in the portfolio. In Singapore, Marina Bay Sands EBITDA for the quarter was $806 million at a margin of 50.3%. If we had held as expected in our rolling program, our EBITDA would have been lower by $45 million. The record financial results at MBS reflect the impact of high-quality investment in market-leading product, world-class service and the growth in high-value tourism. Turning to our program to return capital to shareholders. We repurchased $500 million of LVS stock during the quarter. We also paid our recurring quarterly dividend of $0.25 per share. We believe repurchases of LVS equity through our share repurchase program will be meaningfully accretive to the company and its shareholders over the long term. During the fourth quarter, we purchased $66 million of SCL stock, increasing the company's ownership percentage of SCL to 74.8% as of December 31, 2025. We continue to see value in both names. We look forward to continuing to utilize the company's share repurchase program to increase returns to shareholders. Thanks again for joining the call today. Now let's take questions.
Operator: [Operator Instructions] The first question today is coming from Dan Politzer from JPMorgan.
Daniel Politzer: And Rob, congrats on the storied career at Las Vegas Sands. We'll definitely miss hearing your honest assessment of what's going on in the markets across the world. First, on Singapore -- yes. Another, obviously, a real strong quarter here. I mean the VIP rolling chip volume acceleration was notable. You saw obviously an acceleration across the board on the gaming side. I mean, where -- what particularly is driving that? I mean I know this is the third quarter we're seeing it, but maybe now you have a better pause on what's going on and what's specifically driving that? And are there any additional programming elements or OpEx endeavors that you feel like you need to put in place to further sustain this going forward?
Robert Goldstein: I think you're seeing, Dan, the property is extraordinary. The offerings are great, and we have a lot of fantastic customers in Asia. I don't think it's a different story. It's the same story. Just more and more people coming into that property, 1 experiencing and coming away very happy. And the volumes across the border, extraordinary. As I referenced, the greatest building history of casino hotels made of any operating building. Nothing way different, just more of the same, more people showing up with, got lots of money to gamble, lots of appetite. We're very fortunate. It's a very strong customer base across the region. So nothing really different now.
Patrick Dumont: Yes, I just want to comment on the last part of your question. There's really nothing that we have to do from an OpEx side, except to continue to improve our service models and our programs there. We're continuing to invest in Singapore. We continue to do some renovations. While the suites are done in the casino area is mostly done, I think we're going to tie to adjust our amenity set and continue to invest in our service there. But from our standpoint, I think where we are and where we need to be, but we'll continue to look to improve as we can.
Daniel Politzer: Got it. And then just pivoting to Macao as we try to unpack these numbers. On a hold-adjusted basis, EBITDA margin is down quarter-over-quarter. I mean, how much of this is just the OpEx environment, if there's any other one-offs in the quarter to highlight? I mean, given that we're a few quarters in now to the promotional strategy that you undertook. I mean, where do you feel like it's not really resonating? What strategy do you have in place that you feel like you can start to gain traction there?
Kwan Chum: Yes. Thanks, Dan, for the question. Yes, first of all, I think the marketing strategies, leveraging the Londoner Grand ramp-up since May, I think we're moving in the right direction in terms of customer growth, in terms of revenue growth across all the segments. But obviously, Macao right now is driven by the premium segments, both in rolling and non-rolling. And that's where we are getting most of our growth. So in terms of the sequential decline in operating margin, firstly, we have higher reinvestment. But on a sequential basis, that's mostly driven by the segment mix change. So we have more rolling business as a proportion of our total gaming. And within non-rolling is dominated by the super high end on the premium mass. So that's the first factor. Secondly, OpEx was higher, yes. We invested more on event costs and we had higher payroll as we looked primarily as a result of us increasing our operating table hour capacity. And lastly, against prior quarter but also against prior year, the non-rolling home percentage was lower by about 140 basis points. So that obviously impacts ourselves as well.
Operator: The next question will be from Lizzie Dove from Goldman Sachs.
Elizabeth Dove: And I'll echo my congrats to Rob. You'll definitely be missed. Sticking with Macao, I mean, you've talked in the past about the path long term to getting back to that, somewhere in that $2.7 billion, $2.8 billion kind of range for EBITDA. Curious, kind of tracking on an annualized basis, a little below that right now. How do you think about the pacing to get back there and kind of time line and what needs to happen?
Patrick Dumont: So I think, first off, I think we've made a lot of changes over the last couple of quarters, both on our approach to the customer, how we think about service levels we've invested in personnel. We've had additional table hours, which you heard Grant just mentioned. I think we're really focused on both growing revenue and EBITDA. And so I think we've made some great progress this quarter. If you look at some of our top line numbers, we've definitely grown, and we've had success in both rolling and non-rolling at [ thoughts ] as well when you look at year-over-year comps. I think for us, we're sort of working through some of the changes that we've made. And I think the trajectory is heading in the right direction. And I think we've made a lot of important changes. And I think we're in a position to do better over time. And while this quarter may not have produced the results that we want on an EBITDA basis, we see growth, we see better market positioning. We see revenue share growth, but we're heading in the right direction.
Elizabeth Dove: Got it. Makes sense. And then you've had so much success in Singapore with side bets and kind of just making gambling more diversified over there. I know you've talked about kind of introducing more of that in Macao. Can you maybe share an update of how far you are in terms of rolling that out in Macao, anything that's kind of different structurally or with the customer base that maybe makes it more or less appealing? And how we should kind of think about structural hold there long term?
Kwan Chum: Thank you for the question. I think in Macao, we have been continuously rolling out additional wager options on the baccarat layouts. And we've been having progressively more success in attracting volume against those side wagers. The level of participation in the side wagers is not as high as Singapore, but it is on an increasing trend. And we'll continue to innovate in terms of offering more fun and interesting side wager options in the traditional game of baccarat and also other games as well in terms of additional wager options. So that will continue. But we are seeing a rising interest in these side wagers, but it's just not as high a level as what you see in Marina Bay Sands.
Operator: The next question will be from Trey Bowers from Wells Fargo.
Raymond Bowers: Great to catch up. Could you guys just talk to what you're seeing in the promotional environment in Macao? Has that changed dramatically in the near term? And what's the expectation as we make our way through '26?
Patrick Dumont: So I think the market definitely has become more promotional over time. You heard Grant mention that it's much more premium-focused, and that goes hand-in-hand with that segment. That being said, we're being very competitive. And I think we're seeing the results related to our positioning as we look to be more promotional and as we add the right service levels to ensure that we can take care of these customers in a way that allows them to keep coming back. Grant, I don't know if there's anything you want to add?
Kwan Chum: Yes. I think the promotional environment remains intense. And especially in the premium segments, which is really driving the growth in the market. That said, I think we are at a more stable level now in the current quarter, and we can see that progressively in the fourth quarter. But of course, things can change anytime as competitive dynamics change. But at this point in time, I think we are stabilizing at the current levels, at least for our portfolio. And actually, we're hoping to find some headroom to optimize on the reinvestment front into 2026.
Raymond Bowers: Great. Then just back to MBS, given the exit rate of where you were in Q4, if we apply seasonal levels of kind of sequential growth to the market, we come up with some pretty big numbers on the top and bottom line in the market. Is there anything to call out that you would just put out there as a put or a take against that as we kind of build our models for the next 12 months?
Robert Goldstein: I don't think it's seasonal. I think this is just a building that defines the seasonality of most markets. I think it's more about the right customers showing up, events, et cetera. I don't think that people are dealing with that driven by the seasonality of the market. I think it's just a very, very -- it's the best product in the market, obviously, in one of the best parts of the world. People want to be there if you get the right people to show up. I think it's December, July, it doesn't matter as much as used to in places like Macao or Las Vegas. It's less seasonally driven, I think, and more driven by the  building itself in a strong market. So I don't think seasonality figures in. I wouldn't model it based on that.
Operator: And the next question is coming from Robin Farley from UBS.
Robin Farley: Rob, I just want to add my congratulations and best wishes. I don't even want to say how long I've know anybody, you'll be missed.
Robert Goldstein: [indiscernible].
Robin Farley: That will be between us. So I guess 1 question is, any early signs of kind of Chinese New Year levels for demand in Macao, anything you're seeing at this point?
Patrick Dumont: I do want to point out that we're going to stay consistent. We're not really going to talk about current quarter. But I will tell you that if you look at the growth in the Macao market overall, it's been very encouraging. So if you look at liquidity in the market, you look at the type of players that are coming in, the value of those patrons, it is premium focused, but it's very encouraging. And I think it's good for the market overall and good for the trajectory of our business and the market.
Robin Farley: Okay. Great. And then maybe just a follow-up on Singapore. And Rob, I hear your comments about defining seasonality and kind of -- it seems like every quarter has done better than one would have expected. But maybe so that expectation don't get to -- I mean, is there anything you would say that is like a gating issue or sort of a natural point at which maybe it wouldn't even be reasonable to think that the building could do more early? Where do you see [indiscernible]?
Robert Goldstein: We've proved to be very bad in forecasting this. I think last year, I said $2.5 billion is our goal, and people kind of thought that was very ambitious. It proved to be very unambitious. So I think I have a real hard time engaging it because what you now have is this plethora of facts on favor. You have a really great place to visit in Singapore, a wonderful government supporting us. We have a building that a different level was we opened it many years ago, service levels, et cetera, and suite product. It's just the best thing in that region, I think, and people just keep coming to it, and we are pleasantly surprised at the amount of customers, the diversity of the geographic locations they come from. It's got diversity, it's got new customers shift all the time. And any time we think, well, we lost these 4 customers for a reason, 12 more show up. And I think that's the strength of Macao -- Singapore. And I don't think we should pretend to have any great handicapping skills. Can it go to [ 3.2, 3.3, 3.4 ]? I just don't know. I mean, we've had 3 successive quarters that keep getting better and better. It feels like it's sustainable. It feels great. But I think it'll be bullish about to forecast the future and kind of go to [ 3.1 or 3.2 ] as it goes back to [ 2.7, 2.8 ]. I don't know. But I think we've now passed the point of disbelief, realize this is a real building that has real potential to keep growing if the economy stays strong and we continue to deliver a great quality of product. I have a lot of belief in its future. I don't think it's going to fall apart at all. And how much stronger does it get? I don't want to forecast. I can't -- I just can't know. I don't know how to figure out -- more people keep showing up from all over Asia wanting to gamble at Marina Bay Sands. The answer has been thus far this year, absolutely, yes.
Operator: The next question will be from Brandt Montour from Barclays.
Brandt Montour: The first one is on Macao. The rolling chip volume number is obviously very strong. VIP isn't something that you historically focused on or at least it wasn't a huge part of your mix. But given mix did weigh on the quarter, EBITDA and margins and flow through, the question would be, do you -- has there been any shift in strategy in terms of your relative focus on the VIP part of the business? And is that something we should consider more thoughtfully going forward?
Kwan Chum: Brandt, thanks for the question. I think first of all, we have said we are committed strategically to grow in every single segment in Macao that's available to us. And secondly, the growth of the market is currently primarily driven by the premium segments, and that applies both to the rolling segment and the nonrolling. So this quarter, yes, you can see that we've had a pretty significant, terrific increase in our rolling volumes up 60% against prior year, and we're outgrowing a fast-growing market. And I think that reflects a few strategies that we put in place. Number one, we've adjusted some of our commercial programs in that segment. Number two, we've been very successful in attracting the foreign play out of the rest of the Asian markets in the rolling segment, and that's given us a good boost in the volumes. And number three, partly reflecting the strong market in that super high-end segment. We've also been successful in that super VIP rolling segment this quarter as well. So all of these factors contributed to the very strong rolling segment growth. And yes, it's much lower margin than the other segments, but it's still a profitable segment on an absolute gross dollars basis. And of course, our primary focus right now is to grow EBITDA. And of course, if we take advantage of where the market is growing, the rolling segment is definitely a segment that we'll be concentrating on to take advantage of the market growth.
Brandt Montour: And the second question would be on Macao and Singapore. The -- there are some concerns out there that World Cup could have some level of impact, folks staying home to watch the games and not traveling as much during that tournament. When you guys look back at your historical performance in prior World Cups, do you see anything that would suggest traffic or the higher end not coming during that term for either Macao or Singapore?
Robert Goldstein: I don't believe it matters at all. You watch a telephone, they can I don't think it matters at all. I really -- that's been overblown in the past and overrated. There was a time we got over was coming in to World Cup changed the world for 30 minutes. I just don't think in size of our business is the scale, it matters all that much. You guys feel differently, but I think it's -- I wouldn't -- it's not critical.
Operator: The next question will be from George Choi from Citigroup.
George Choi: And congratulations, Rob, for your criteria. Firstly, on Marina Bay Sands. At [indiscernible], it looks like MBS generated enough master yard to trigger the higher mass gaming tax rate. Can you confirm if that is right? And is that the reason why we see a slight sequential decline in EBITDA margin given the reported GGR?
Patrick Dumont: George, you're very good. I have to hand it to you. We hit the higher tax rate in July. And in the fourth quarter, there was about $44 million of impact.
George Choi: Okay. That's good. And encouraging. And secondly, given the CapEx schedule that you guys have for the next few years on Marina Bay Sands, are you guys interested in any other investment opportunities perhaps in Japan?
Patrick Dumont: Sorry, are you asking about Marina Bay Sands or Japan?
George Choi: I'm just thinking, obviously, you guys have -- just kind of spent a lot of money on Marina Bay Sands. With that in mind, would you be interested in any other opportunities around the region?
Patrick Dumont: Yes. I think we're constantly looking at new development opportunities in markets where we think we can do what we do well. And so if Japan were ever to present an investment opportunity that works for us, we'd consider it. But right now, we're really focused on investing on our existing properties, building IR2. We're very excited about that opportunity. That's going to be a step functional growth, we hope. And so you can see the impact that we've had in our investment programs in Marina Bay Sands and the change we have there, and we feel like we're on our way in Macao. So we're very focused on the assets that we have. And if something comes up, we're definitely interested.
Operator: The next question will be from Shaun Kelley from Bank of America.
Shaun Kelley: Rob, it's been a privilege to work with you for nearly 20 years, which is hard to believe, and congratulations just on everything you've done for the industry. You'll be missed. Maybe just kind of pivoting or kind of 1 directly for Grant, specifically on Macao. Grant, just kind of wondering as some of the initiatives you've worked on, I think we think about some specific things going back 6 to 9 months ago, like adjusting cash comp mix and maybe some more direct cash player rebates in the market, which peers were already doing. Are all those things kind of where you want them to be right now? And have they been stable for a little while? Or are you still tweaking those things at the edges and finding what the right customer balance is for the mix that you're seeing in the market today?
Kwan Chum: Yes. Thanks, Shaun, for the question. I think we've been heading in the right direction for some time. And I think we are happy with where we are. You're right, there's been a number of initiatives that we've set out to implement since 6 months ago. I think the sales and marketing programs that were put in place, the product launch that we had in the ground and also some of the adjustments that we made in the rolling segment, those are all feeding through to a higher revenue capture and higher market share. The reinvestment environment, as I described earlier, it's still intense. And also, it's subject to month-by-month change. But at this moment, seeing what we saw in Q4, I think we're reaching a level where yes, I think there is some stability in terms of the way we see our promotional intensity. And we actually hope to be able to optimize some of that across the different segments into 2026. So 2026, I think, is going to be a year where we sustain our revenue growth against the market and then hopefully convert more of that into EBITDA.
Shaun Kelley: Great. And maybe just as my follow-up, kind of on the operating expense side of the equation. Could you just talk a little bit about both kind of when traditionally you see some of those annual escalators or market-wide increases you'd see particularly on the labor cost front. Are those primarily in 4Q? Or do they kind of come in more in 1Q? I'm not sure of the timing. And then specifically for the 4Q, did you -- was there any direct impact or a tangible impact from the NBA activities in the market? We know that was probably a big success for Macao broadly, but just wondering if whether it's marketing or operating expenses attached to that could have had an impact on margins?
Kwan Chum: Yes. Sure, I referenced that we have higher event costs for fourth quarter, and NBA was the biggest event that we conducted both across the quarter and actually ever in the history of the company. And it was, as you say, tremendously successful. I think the brand projection, I think the stakeholder engagement, the way we're able to bring in new business partners through the NBA China Games Week. And of course, the entertainment we provided to our customers and community stakeholders, I think all of those things, we are absolutely delighted by. And of course, it has a cost impact. But we are very happy that we are continuing with this event in a multiyear partnership with the NBA, and we look forward to doing the event even better in 2026. In terms of the OpEx question, your first point, I think, refers to just general wage inflation, if I'm right, and understand your question. Generally, that those wage adjustments occur in March for us and will occur again in 2026 in March with some wage inflation that we put in place for our frontline staff.
Operator: The next question will be from Stephen Grambling from Morgan Stanley.
Stephen Grambling: Rob, thanks for all the insights and stories. Given the reinvestment that you all are just mentioning through 2026 in Macao, how does this influence any strategy around renovations or reinvestment into other properties?
Patrick Dumont: So I think we're very focused on upgrading our property portfolio, particularly at the high end. We've had some very strong success in the Londoner. Londoner Grand opened earlier in the year, and we're already seeing very strong adoption and strong productivity out of the higher-end suite that we've created there. And of course, we have the Londoner Suites. We have the Londoner Court, which is 1 of our core luxury products. And so as we look around our asset base, we think we have the opportunity to add more amenities, to add better room product and better service over time. So this is part of our ongoing investment cycle in Macao and something that you'll see us do over the coming quarters.
Stephen Grambling: And then maybe a quick follow-up on capital allocation. You mentioned spiking buyback and buying the stock in Hong Kong as well as the U.S. Does this eventually shift back to dividends as we get through this reinvestment cycle? Or what -- is this more of a permanent kind of shift towards buyback relative to dividend in, I would say, both entities?
Patrick Dumont: I think if you look at the SCL level, just given the market dynamics and I think preferences at the Board level for SCL, hopefully, over time, you'll see the Board there approve dividend increases. And I think that's been the goal. As cash flows continue to grow, the dividend there would increase over time. And we think that's very beneficial to shareholders, including Las Vegas Sands. I think at the Las Vegas Sands level, you see us be very consistent in the way that we repurchased shares. We've done over the last couple of years. I think we'd like to have that continue. We do think the dividend is fundamental to return to capital story. We do look at payout ratios and consider them and look at the flexibility that our cash flows provide to us, given that we do like the idea of investing in new growth opportunities. And we think that the flexibility as well as the accretion from share repurchases is kind of a balance that we like. And so you should see us heading forward in this general direction. And we've been pretty aggressive in the way that we buy back shares previously, and we're going to be positioned to do well with our future cash flows to do the same. So we're excited about it.
Operator: The next question will be from David Katz from Jefferies.
David Katz: Good afternoon, everybody. Rob, thanks for everything, all the best. I wanted to just focus on Singapore for a minute. There has been a considerable amount of CapEx put in there in a variety of different places. I wanted to just go a little deeper and figure out and understand. Are all of the capital investments that we've been talked about, I know the rooms, gaming floor restaurants, amenities, maybe lobby. Are those all completed and activated at this point? And just thinking about how the property ramps from here continues to strength.
Patrick Dumont: So they're not all done. So we still have work to do in other parts of the property gaming floor, yes, rooms, yes. Some public spaces, some mall lobby and SkyParks will have work to be done. So it's not fully completed. And so our goal is to continue to improve the experiences that we offer. The vast majority are done. And so you see the results, and you see how our patrons enjoy the changes that we've made. But over time, we're going to look to improve the property and continue to invest in it to continue to have it being the best in the world. That's our goal.
David Katz: Understood. And if I may, as my follow-up, specifically with respect to the lobby, should we be contemplating any disruption as we go through, say, the next couple of years whenever you get to that?
Patrick Dumont: No.
Operator: The next question will be from Joe Stauff from [ SIG ].
Joseph Stauff: Grant, I just wanted to follow up on some of your comments about that you've -- in Macao, you think you've reached a level of stability regarding investment and the right promo mix. Is that -- could you -- just curious as to why you think that? Is that just a function of you're seeing some of the right KPIs inflecting because of that? Is it because you don't necessarily see a competitive response relative to your higher investment? I was wondering if you could broaden out that answer a little bit more.
Kwan Chum: Yes, thanks for the question. No, we can only observe from what we see in the recent months. And I think my comment simply attests to the fact that during the fourth quarter, as we progressed, we see some stabilization in the degree of promotional incentives that we're having to escalate to. I think part of it is we caught up with the market since May, and that was a progressive process. And I think in the fourth quarter, we start seeing, I think, on a stable basis, a higher level of market share and higher level of patronage across all the segments, in particular, in the segments where the market is growing the fastest, which is in the premium segments. And then we also see that dynamic apply to the rolling segment as well. So I think the evidence from the fourth quarter is -- is -- I think, offers good comfort. However, the market changes day to day, minute by minute, so we will have to observe how competitive dynamics evolve in 2026. And one of the key drivers of how dynamics may change is obviously the level of market revenue growth, which is always tough to forecast. So I hope that gives you more color or explanation for my previous comment.
Operator: The next question will be from Steve Wieczynski from Stifel.
Steven Wieczynski: Congratulations, Rob, I'll add that in real quick. So Patrick, probably for you. If we think about the drop in the Macao margins, which was, I think, about 390 basis points or somewhere in that range, wondering how we should think about margins for the rest of the year, maybe how you guys are thinking about margins for the rest of the year? I'm not looking for guidance, so to speak, but just -- if we don't have visibility into that base mass business and we continue to see this shift towards rolling play and even the high end of non-rolling, should we consider the margins we saw in the fourth quarter a pretty good run rate, at least for the foreseeable future?
Patrick Dumont: Yes. I think the way we think about it is that we sort of think about this business as a low 30s margin business, low 30% margin business, just given the mix of play and who's coming to the buildings, the promotional activity necessary to support the patrons. If the base mass comes back in some way, like it existed prepandemic, that's a very high-margin business, and our margin structure can change positively if we overweight towards the IP play, which is a lower-margin business, the margin may be a little bit tighter. But we'd like to believe this is a low 30s margin business and go from there. But I think right now, we're really focused on growing revenue, growing EBITDA and the long-term health of how we grow. And we also believe that our investment over time that we talked about earlier will allow us to attract high-value patrons and position us well for future growth. And we're focused on all those things.
Steven Wieczynski: Okay. And then second question probably for Grant. Grant, wondering if you think about that base mass business, which hasn't really returned or improved? One maybe get your updated thoughts in terms of what you attribute that to? Or what factors do you think are kind of continue to hold that segment of the market back?
Kwan Chum: Steve, thanks for the question. I think when you see the sequential change in the quarter, obviously, base mass did not really grow, whereas premium mass did. I think what you're seeing is that the lower-end segments, the spend per head has been on a declining trend versus pre-COVID. As to why that is the case, we can speculate different reasons. But I think the most helpful comment we can make on that is simply to observe that, yes, I think since COVID and even in the last few quarters where GGR has accelerated, the base mass, particularly looking at revenue spend per customer in those lower value segments really has been quite stagnant. And of course, you guys might be in a better position to speculate on drivers from the economy to other factors. But we can just tell you what we're seeing on the ground in terms of premium mass versus base mass. And you can see those numbers very clearly in the size that provides.
Operator: And the next question will be from John DeCree from CBRE.
John DeCree: And Rob, I'll pile on the gratitude, and congratulations as well. My question, Grant, also related to that base mass customer, if I could build on maybe Steve's question. And so spend per head is down, but are you seeing comparable levels of property visitation from that customer? And is there anything you guys have tried to do to stimulate higher spend? Obviously, the premium segment is quite competitive with player reinvestment, but is there anything you can do to maybe help get that customer to open up the wallet a little bit more?
Kwan Chum: Sure. We can and we are. I think property visitation across Sands China remains very strong. I think we actually slightly exceeded 2019 in 2025, approaching 100 million visitations in the whole year, but that's where we can also see the lower spend per visitation because it hasn't fed through into the base mass revenues to the extent that you would have expected given this level of property visitation. I think what we have been doing and what we can continue to do is to leverage the assets that we have for that base mass and mid-tier across the retail malls that we have across the entertainment calendar that we provide. And obviously, all of the attractions that we can offer as the most diverse, an extensive integrated resort in Macao. And we're doing all of those things, including, I think, really pushing hard on the event calendar as well as introduce new nongaming loyalty programs into the market, particularly for the retail mall business. And we're seeing good take-up and good success in some of those initiatives. However, when we come back to the base mass gaming, that level of base mass gaming is just not growing as fast as the premium segments.
Operator: Thank you. That concludes today's Q&A session. I would now like to hand the call over to Patrick Dumont for closing remarks.
Patrick Dumont: One final item today before we complete the call. I would like to mention that Rob is going to be serving in a new role as Senior Adviser to the company for the next 2 years. On behalf of the company's Board of Directors, the senior leadership team, all of our team members, I want to use this opportunity to thank Rob for 30 years of extraordinary contributions to the company and for all of his leadership. Rob served in many important leadership roles for LVS. He's also been a strong and vocal advocate for the gaming industry as a whole. There are not many individuals who have even more of this industry than he has. Rob has hired, led and mentor numerous people over the years. Many of these people serve in leadership roles in the industry or elsewhere because Rob Goldstein took the time to invest in them and their careers. Finally, I want to recognize and thank Rob for his steadfast commitment to the Adelson family. Rob and [ Sheldon ] had a wonderful friendship and achieved so much together. On behalf of Dr. Adelson and the family, thank you, Rob, for everything you've given this company. Your contributions to this industry and this company are too many to list, but they will always be recognized and appreciated. So in closing, I would like to thank you, and I would like our entire team to look forward to working with you in your new role. Thank you, Rob.
Robert Goldstein: Thank you, Patrick. Promise better margins in Macao. Stay the course. Thank you very much. Very kind. Thank you for all your kind comments. I appreciate it, and we will improve in Macao and continue to strive for better results. Thank you.
Operator: Thank you. And this does conclude today's conference. You may disconnect your lines at this time, and have a wonderful day. Thank you for your participation.